Operator: Good afternoon, and welcome to NuScale's First Quarter 2025 Earnings Results Conference Call. Today's call is being recorded. A replay of today's conference call will be available and accessible on NuScale's Investor Relations website. The web replay will be available for 30 days following the earnings call. At this time, for opening remarks, I would like to turn the call over to Rodney McMahan, Senior Director of Investor Relations. Please go ahead.
Rodney McMahan : Thank you, operator. Welcome to NuScale's First Quarter 2025 Earnings Results Conference Call. With us today are John Hopkins, President and Chief Executive Officer; and Ramsey Hamady, Chief Financial Officer. On today's call, we will provide an update on our business and discuss our quarterly financial results. We will then open the phone line for questions. This afternoon, we posted a set of supplemental slides on our Investor Relations website. As reflected in the safe harbor statement on Slide 2, the information set forth in the presentation and discussed during the course of our remarks and the subsequent Q&A session includes forward-looking statements, which reflect our current views of existing trends and are subject to a variety of risks and uncertainties. You can find a discussion of our risk factors, which could potentially contribute to such differences, in our 2024 annual report on Form 10-K and subsequent SEC filings. I'll now turn the call over to John Hopkins, NuScale's President and Chief Executive Officer.
John Hopkins: Thank you, Rodney, and welcome to NuScale. Good afternoon, everyone. As 2025 progresses, I'm excited to share that NuScale continues to build momentum and strengthen its leadership position in the SMR space. We remain the only SMR company with U.S. Nuclear Regulatory Commission design approval, and we continue to advance our commercialization efforts. During the first quarter of 2025, we focused on deepening customer engagement and further enhancing our manufacturing and supply chain readiness, ensuring we remain on track to meet our 2030 delivery target. Today, I'll provide further insights into these initiatives and share updates on our business commercialization progress and market opportunities. Ramsey will follow with a financial update. Starting with a business update. RoPower project in Romania, as discussed on Slide 3, continues to move forward with a Fluor-led Phase 2 Front-End Engineering and Design, delivering meaningful revenue and cash flow for NuScale. Notably, we are on schedule to deliver the Class 3 estimate by this fall. Furthermore, discussions are underway to extend the project into the detailed design phase, a critical step that would enable the submission of a final investment decision application to the Romanian government by late Q1 or early Q2 2026. Moving on to Slide 4. Let's shift to our commercialization progress. It's essential to reiterate that NuScale remains well ahead of its competition and continues to lead the market as the only near-term deployable SMR. As we have mentioned before, recently proposed non-light water SMR projects in the U.S. are still in what we call the demonstration phase, which means they still require a minimum of 4 years of operation before securing U.S. Nuclear Regulatory approval for commercial deployment, an important and rigorous regulatory requirement that NuScale has already achieved, which we believe sets us years ahead of the other players. To that end, we are pleased to report that our standard design approval application with the NRC, which aims to increase the power output per module from the previously approved 50-megawatt electric to 77-megawatt electric, continues to progress on schedule. We anticipate final approval by the NRC by July of this year. We are proud to be a first mover in the industry when it comes to manufacturing preparedness, a crucial step towards deployment, and we continue to gather early valuable knowledge about the process that will only make it more streamlined and efficient as well as enhanced scalability going forward. Turning to Slide 5. This was a pivotal quarter for our supplier working group, another demonstration of our commitment to meeting our deployment plans. NuScale's team worked from on-site delivery days to identify key near-term supply chain actions that need to be completed to assure a 2030 delivery of our first NuScale power module. For example, during the first quarter, we conducted multiple prebid meetings with Doosan on an upper reactor pressure vessel fabrication proposal, continued progress on long-lead material orders, issued a preliminary scheduled delivery date notification to our fuel supplier Framatome for the initial core and initial order of control rod assemblies and executed a neutron monitoring system supply agreement with Paragon. We also held a productive meeting with our supplier working group in April, where we continue to build and invest in strong relationships with our suppliers in anticipation of a near-term customer order. With more than 30 suppliers attending the meeting, we focused on critical path production items and identifying a near-term supply chain investments. A strong supply chain is essential in successful deployment, and NuScale continues to be proud of our robust relationships with our valued suppliers. Now let's talk about market opportunity. Looking at Slide 6, we remain confident that the growing interest in our technology and its critical use cases as well as NuScale's distinct competitive edge in module manufacturing and field readiness will result in a firm customer order during 2025. In collaboration with our exclusive commercialization partner, ENTRA1 Energy, we are in various stages of discussions with potential customers both here in the U.S. and abroad. Domestically, this includes discussions with government officials and industries, including data centers, utilities, coal plant operators transitioning to nuclear and petrochemical and energy companies; internationally, with stakeholders around the globe in Europe, the Middle East, Africa and Asia. On the data center front, ENTRA1 continues to lead discussions with major U.S. hyperscalers with a strong focus on powering AI operations. Potential customers continue to be attracted to ENTRA1's commercial model, which is designed to provide financial flexibility while mitigating deployment risks. Of these customer discussions, I would classify upwards to 10 as advanced, many of which have progressed to the point of multiple iterations of term sheets exchange between parties and customer site visits to Doosan's manufacturing facilities in South Korea, where NuScale power modules are being built. Across the board, we are continuously encouraged that both prospective customers and the broader market are better informed and more aware of the significance and advantages of NuScale's advanced SMR technology, in part due to our extensive outreach efforts. Now I'd like to briefly discuss other applications of NuScale's technology beyond generating electricity, as shown on Slide 7. One of these applications drawing a significant amount of attention is the production of carbon-free hydrogen, and we believe NuScale is uniquely positioned to lead in this space. We are proud to be the first SMR company to integrate hydrogen production systems and controls into a multimodule main control room simulator, enabling efficient carbon-free hydrogen production. Notably, our solution is designed to meet the needs of commercial-scale industrial applications requiring over 200 metric tons of hydrogen per day. Our presentation at the World Petrochemical Conference in March, where we were the only nuclear company to present, introduced an approach to produce a hydrogen carrier from the brine waste generated by desalinization, consistent with our mission to provide both clean energy and clean water. We've attracted strong interest from major industrial players, and we look forward to future collaborations to cement our leadership in this space. As we look to the future of SMRs in the nuclear field, I want to take a moment to note the recent opening of 3 new NuScale energy exploration centers at leading universities. Soon, we'll be opening 2 additional centers, bringing the total to 11. These innovative learning environments that stimulate a NuScale SMR control room as well as NuScale's licensed operator training program are helping to pair the next generation of nuclear talent, and we are proud to partner in this important effort. Lastly, I want to share that NuScale is actively assessing the potential impact of tariffs on our operations in the current market environment. At this time, we do not anticipate any material impact. However, we remain vigilant in monitoring the situation. We're also working closely with our suppliers to ensure operational continuity and are prepared to address any changes proactively to mitigate potential risk. This is an important year for NuScale, and we remain steadfast in our commitment to delivering sustainable carbon-free electricity to end users worldwide. I am proud of where we are today and look forward to updating you all on our progress over the course of 2025. The demand for clean, reliable energy has never been more pronounced, and we have an exciting future ahead. Now over to Ramsey for the financial update.
Robert Hamady: Thank you, John, and hello, everyone. Our financial results are available in our filings. So my focus will be on explaining major line items, which can be found on Slide 8. NuScale's overall liquidity improved during the period, ending the first quarter of 2025 with cash and cash equivalents of $491.4 million and short-term investments of $30 million. The primary driver of this increase was our successful sale of 4.5 million shares through our ATM program during the quarter, generating $102.4 million in gross proceeds. Our strong balance sheet positions us to continue bolstering our manufacturing and supply chain preparedness as we drive towards commercialization. For the quarter ended March 31, 2025, NuScale reported revenue of $13.4 million. During the same period in the prior year, the company reported revenue of $1.4 million. This increase was driven by fees received from the engineering and licensing work and other services we provide in support of the RoPower project. Operating expenses were $42.3 million for the quarter ended March 31, 2025, compared to $44.6 million during the same period in the prior year. More notably, operating expenses since the beginning of 2024 are well below the $69.9 million per quarter average in 2023. This material reduction underscores NuScale's commitment to streamline costs and improve operational efficiency. Looking ahead, we are excited about the next phase of growth. As John highlighted, this is a pivotal year for NuScale, and the solid start we had in the first quarter positions us well to maintain and build upon the momentum. I will conclude my remarks with a brief view of our capitalization summary on Slide 9. Additional information may be found in our 10-Q and earnings release, both filed with the SEC. With that, I'd like to thank you again for joining today and for your continued support of NuScale. We'll now take questions. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Marc Bianchi with TD Cowen.
Marc Bianchi: I was pleased to see the -- I was pleased to see the kind of outlook to have a firm customer order by the end of 2025. Can you talk about what that means from a -- how do you define that? Is that the customer reaching a final investment decision? Is it some other intermediate threshold that needs to be crossed to sort of fall into that category? And then what are the events that need to unfold to get to that?
John Hopkins: Marc, this is John Hopkins. Let me just start by saying we're -- I think we mentioned in the last earning calls, our focus right now is to get closure on near-term contracts. We are no longer chasing or announcing MOUs. Where we are with our current customers, and then we're in discussions with right now, as I commented earlier, we're actually in the process of submittal and negotiating term sheets. We've got customers that are wanting to go to Doosan to actually go touch steel and see our modules online and in production. In fact, I'm going to be in Korea with an executive team of a prospective customer this June. So the groundswell continues to build. I spoke with the CEO of Nuclearelectrica today on Romania. We're keeping a close thumb on the pulse there. There's -- they're having presidential elections coming up this coming Sunday. But so far, they're paying their bills, and the team is working well together, and Fluor is still leading as a prime for the Front-End Engineering Design. So I feel pretty comfortable that this is going to be a pivotal year. I'm appreciative of this administration and things that I'm hearing coming out of both our Secretary Wright and Secretary Burgum in terms of advanced new nuclear and that needs to be quickly put into the energy mix. So we're not in discussions about LCOE. We're beyond that with these customers. Now it's discussions of getting long-term power purchase agreements negotiated in place. So we're working diligently on getting that done. So I'm pretty excited where we are right now in our space.
Marc Bianchi: Okay. I guess you mentioned the administration and their support for nuclear. There was some news last week about some draft executive orders from the White House to sort of help streamline, I guess, the licensing process. Can you talk about sort of what could potentially be done that would streamline permitting? Because my understanding is NRC is supposed to be kind of like the Fed and sort of you can't be -- White House can't be telling them what to do. But just kind of curious what might be some low-hanging fruit to streamline the process.
John Hopkins: Yes. Actually, I'm at a SMR conference this week, in fact, right now, meeting with customers and our suppliers here. And that's kind of the talk of what's going on. I think everybody is trying to figure out what it means. It's too early really to ascertain. But thankfully, I'm in the process right now. We've had ongoing meetings with the Nuclear Regulatory Commission and ACRS. I feel very comfortable in our discussions that we are on track to get closure on our 77-megawatt this July. So we're still on track of the NRC schedule. Hopefully, we could beat it. But I feel pretty comfortable. In terms of streamlining, I just can't envision that we're going to take the rigor of safety away. Are there areas in license that can be streamlined in a few other areas? Absolutely. But I'm just thankful we are in a good place right now as a company, having gone through the licensing with 50 megawatts, having got the methodology approved for emergency planning zone and site boundary. By the way, took us 7 years to get that done. And then now once -- I'm just kind of staying low key. I want to get to 77-megawatt approved in July and really hit the ground running.
Operator: And our next question comes from Sherif Elmaghrabi with BTIG.
Sherif Elmaghrabi: You have long lead items in the works for a dozen or half a dozen unclaimed modules depending on how you want to slice it. So how quickly -- and you talked about order by the end of the year. How quickly after booking an order could NuScale turn around and deliver modules if it was a U.S. power plant?
John Hopkins: Well, I made the comment previously. If you haven't ordered long lead items -- we started this process a few years ago. So Doosan was originally slated to do 6 of the modules of the reactor vessel. We just put a placement in recently for 6 more. So if we're going to adhere to a 2020 -- the end of this decade, let's say, COD, that's what we've been working with our supply chain to get -- ensure we can make that if, in fact. Now I got to tell you, as the window keeps pushing out, can we do 2030? Yes, if we get closure on a deal here soon. If we don't, then it get pushed out to 2031. But our suppliers -- and I got to tell you, Doosan has spent a lot of their own capital that none to come with NuScale. We -- they're doing our helical coil steam generators right now. They went out and acquired 2 bending equipment. And that's why we're excited now that we're in a place to bring customers to Doosan manufacturing and see -- and actually see where we are in the process, and they're very far along.
Robert Hamady: Sherif, maybe I can add a little bit to your comment. We call them -- or you call them, I think, unclaimed modules. I think of those really as long lead materials, which we're producing for our first contract. And we anticipate that once we sign a contract with our business model, we'll see cash flow immediately in relation to the modules. We believe that once we sign a contract with a major customer, this will receive payments in relation to the modules. We'll receive positive cash flow. Remember, NuScale has a few different revenue sources. We have pre-engineering services. We have the sale of the modules, and we have some post-delivery services. In relation to the sale of the modules, we expect somewhere around 25% of cost of modules to come in the first year and for NuScale to be cash flow positive from that perspective. So I think that, that contract will be important for us. It will be pivotal in terms of pushing our balance sheet and our cash flow towards a cash flow positive position. And that's why we're producing today, because we anticipate that sale to be a near-term event.
John Hopkins: Good point, Ramsey.
Sherif Elmaghrabi: Got it. That's really helpful color, actually. And then maybe just -- you've answered a couple of my questions. So just kind of a simple one. But on Slide 3, when we talk about extension of Phase 2 for RoPower for the first quarter of next year, what does that entail?
John Hopkins: Ramsey?
Robert Hamady: Sure. I think RoPower has taken a very sensible and measured approach to the development of the project, the SMR project in Doicesti. And currently, the scope of FEED Phase 2 envisages a 2-step FID. And I think what RoPower now is looking at is we went and they scoped the first step and they're pushing forward very deliberately and very steady on that pathway. And I believe RoPower now is looking to fund the FEED Phase 2 for the second step of FID. So really, it's just greater assurance, I think, on our side and greater assurance to the market that ultimately at the end of FEED Phase 2, RoPower will have completed sufficient engineering studies to get to an FID, which is final investment decision, and be able to take a view of moving forward with the project. So we see this as a very positive idea. We're thrilled that RoPower is doing that, and we're here to support them in every step of the way.
John Hopkins: Yes. We -- Ramsey and I actually met with the CEO of Nuclearelectrica last week in Washington, D.C. So their FID or final investment decision is still looking to be latter part of '25 or early 2026 as a target.
Operator: And our next question comes from the line of George Gianarikas with Canaccord Genuity.
George Gianarikas: I'm curious in terms of this firm order you expect by the end of the year. You sort of articulated a series of customer conversations that you're having multiple shots on goal. How likely is it that one of these customers could be a large tech company versus some of the other descriptions that you made during the call?
John Hopkins: I think it could very well be. We have nondisclosure agreements with the Tier 1s on the AI side, and Googles and the Amazons have made some announcements. But trust me, they -- I was speaking of one of the Tier 1s today here at this conference. They need a lot of energy. And in terms of near-term deployable -- and you got to remember, as far as I know, no other technology is even submitted a design certification application to the NRC as yet. So when we get that 77-megawatt power upgrade, we're fully licensed under part 52 not only to construct but to operate. So if they really truly need power now, we are near-term deployable, George.
Robert Hamady: George, I may add that when we look at projects, we talk about who the customer is and the possibility that one of our customers is a hyperscaler Tier 1 data center AI developer. And I think it's important to understand that our projects are complex. And really, the customer, in many cases, will be the developer who's developing the plant and purchasing the SMRs from NuScale. Supporting that idea will be a power purchase agreement and a buyer and a power user, which we anticipate would be a Tier 1 data center or AI developer. But there's many others within that ecosystem of us developing a first deal. And that includes having a site, includes a site operator, most likely in the form of utility; our exclusive development partner, ENTRA1; and capital to support the deal. So I hate to mince words for the sake of precision, but I think it's meaningful. There's a number of entities that will be involved in announcing the first project, and the Tier 1 AI data center, which we hope will be involved in the first project, will really be the power user versus the direct customer to NuScale, who's buying SMRs.
George Gianarikas: And maybe for a second question. You did a nice job this quarter with cash management. Cash increased sequentially. Can you just help us, again, maybe articulate again how much -- what we should expect for quarterly cash burn for the foreseeable future?
Robert Hamady: Sure. I mean I think we've -- George, I think we've done a good job. NuScale has done a good job of showing steady OpEx over the last -- probably the last 5 quarters or so, through 2024 and into Q1 2025. We kept OpEx between $41 million or so, $41 million to $44 million. If we look at cash flow from operations, it fluctuates a little bit. For example, in Q4, we had a bit of a boost from some onetime-type payments in relation to technology license agreement with RoPower. But we continue to derive revenue from that project. So if I look at just like an OpEx cash burn, it's still in that range, let's say, $40 million to $45 million a quarter. We'll probably push it up a little bit as we invest in our supply chain. That's something that we're actively doing now because we anticipate a near-term project, and we're focused on supply chain manufacturing and delivery dates. And revenue, I think, will stay fairly steady throughout this year. So more reflective of our Q1 '25 revenue versus our Q4 2024 revenue but steady-state revenue to offset some of the OpEx. And I think you'll see that pretty consistent, George, until the time that we get to the announcement of a project and we think a near-term cash inflow in relation to the modules. So no surprises. Nothing wavering. Very deliberate on behalf of management while we try and to keep our cash position about the same. We think we have 2 years or so of operating runway, just based on where we are today, just based on what cash we have and what we bring in, what we spend. And that will change only when we get a project, and I think it will change in a positive way for the company and for our liquidity position.
Operator: And our next question comes from Craig Shere with Tuohy Brothers.
Craig Shere: So I mean let's talk about possibly hitting the trifecta. I mean do you have bandwidth in your supply chain and with ENTRA1 capacity to support a couple of initial projects that could be deployed in the early -- very early 2030s, either 2 12 modules or 12 and a 6? Could you swing 2 kind of back to back?
John Hopkins: Yes. Doosan has the capacity to put out about 20 modules a year. We're also in discussions with other of our key suppliers, such as IHI manufacturing in Japan. So -- and we had the supplier day in April. We had 30 U.S. suppliers and international show up in Charlotte. So what we're keeping very close on is, to your point, we don't want to overextend our capacity to execute. So -- and our model is just what you said. It's always been these are fungible assets that are going to be built in a factory and shipped to multiple locations. So we don't want a one-off project at a time. We want multiple projects. So we're looking right now to see, to your question, what is it going to take if we had 2 projects simultaneously show up. Do we, in fact, have the capacity to commit? And that's what we're looking at right now. And for me, honestly, I just want to get one hard contract right now, one, to showcase the world. And we're very careful we're not a mile wide and an inch deep. We're staying focused and staying in our swim lane. And as I said, progress is being made.
Craig Shere: Got you. So -- and to the degree you could swing 2 relatively concurrent projects, and I suppose at least from your own financial standpoint, to the degree you're getting upfront payments that, that is doable from your perspective, maybe even with some more proactive customer support for the equipment -- upfront equipment, is it plausible to do 2 12 modules within kind of COD within a year-ish?
John Hopkins: My answer is yes. Again, Ramsey said this is a complicated process. What NuScale is -- and I keep using this analogy. We're the Intel inside of a Dell computer. I bring -- we put modules, which I said are fungible assets, into an owner's power plant. So a lot of it has to do commensurate with the owner and their capacity to put together who the contractors are. So it's complex. But again, that is our model, continue to build out a robust supply chain. And what do these suppliers like about NuScale? They see sustainable opportunity. This is not just one-off plants one at a time. This is going to be -- hopefully, our objective is to do, to your point, multiple plants at any given time. Ramsey, I interrupted, I'm sorry.
Robert Hamady: No, I was going to make the comment that we tend to be pretty conservative when we look at how we ramp up. I think today, there is expectation that our supply chain could take up to 20 modules a year. And I'll be honest. In my financial modeling, I'm more conservative. But supply chain isn't static. And money instigates money. It instigates investment. And I think that our supply chain has been great partners, great, great, great partners. And we have bolstered up. We have invested in supply chain. We've invested in design finalization. And our supply chain partners invested in that as well. Once we have a first contract, I think you'll see more money going into the supply chain in order to increase capacity, right? We believe that getting the first contract is difficult, but we think there's going to be a lot of fast seconds. And we'll be in a great place if our biggest challenge is keeping up with orders, but we anticipate that that's where we'll be. And we anticipate that our supply chain partners will invest for the capacity, and we're planning for that already. So I don't know that we're able to fulfill 2, 3 orders at once in the first year. I don't think that's reasonable. The nuclear supply chain is tight. It's very specific. There's a limited number of suppliers, but fortunately, we're the first SMR company to go into production. We're the first one. We've been working on our supply chain -- working with those partners for 7, 8 years already. So I think we're well positioned to increase capacity in the supply chain and be the company that's able to deliver in volume relative to our competitors.
Craig Shere: Great. That's helpful. And my second, so I mean you only burned through less than $23 million of operating cash flow in the quarter. And you've got a fair amount of liquidity, and you seem to be indicating that you're anticipating at least one order that will turn you cash flow positive in whatever, the next 2, 3 quarters. So what's the rationale for continuing to hit the ATM? And could we assume that, that may slow or cease in the near future?
Robert Hamady: Well, one point is that, especially on earnings calls in a public setting, I make no forward-looking comments on the ATM. But I will say that we manage cash conservatively. We've done so in the past. We've raised capital. And if you look at our slide, Page 8, going from less than $200 million in Q1, Q2, Q3 of '24 now to cash reserves of $526.5 million, we've done a great job in solidifying our liquidity position, and I intend to keep about 2 years' worth of cash flow. I think that's the smart, conservative thing to do. I anticipate a project coming this year. I anticipate a project coming soon. But I don't plan our financial outlook based on anticipated commercial activities. I plan it based on a conservative scenario. And so again, without making any forward-looking statements on whether we hit the ATM, I think it's clear our cash position and our revenue relative to our OpEx makes our cash needs pretty low in order to maintain a 2-year cash position. And we'll remain vigilant, and we'll take advantage of positive market conditions if they exist. But there's no -- looking at our balance sheet, you couldn't see a large need for a big kind of follow-on or some convert or some sort of event like that. That's just not where we are in our development. We've gone through. We've done the spending for R&D. Now we're really just investing in our supply chain and manufacturing readiness. And those are slightly different ideas.
Craig Shere: So two years, it sounds like in answer to George's question, I think you said like $41 million quarterly OpEx, give or take. So it's 8x that number is the minimum you want to maintain until you have a hard contract?
Robert Hamady: Yes, yes. But we'll be pushing up some of the investments in supply chain because we believe we're nearing a commercial project. And as we near the commercial project, we're investing in the long-lead materials, so investing in some of the components that will go into modules. And we're investing in design finalization, and we're investing in our suppliers. So that may bump up a little bit, but we're taking this pretty conservatively, right? I do believe that we have a project just around the corner. I do believe that we're a responsible steward of capital to our shareholders. We're not just pushing cash into the market willy-nilly. So even the numbers I present, the $40 million to $45 million vis-a-vis $500-plus million worth of cash would seem to instigate an idea of greater than 2 years' runway, especially when you add some revenue there, right, because it lowers the burn rate. But I'd like to keep 2 years runway. I foresee OpEx moving up just a little bit, and we remain conservative in how we look at the markets and potentially raise money, again, as market conditions permit us to. But we haven't done any large capital raise as we haven't introduced something. Nothing strange into our cap structure. We haven't introduced convertibles or we have derivative liabilities that's going to impact our shareholders. We're trying to remain very conservative, very, very steady, very, very consistent. Consistency and being steady and not surprising anyone is the key to, I think, good financial stewardship, and that's what we're trying to show. That's why our OpEx is still steady. Quarter-on-quarter, it's just very, very consistent. We intend to maintain that level or a little bit higher level of OpEx just investing into supply chain.
Operator: And our next question comes from the line of Ryan Pfingst with B. Riley Securities.
Ryan Pfingst: I appreciate all the details so far. Just a quick one. For the 10 customer discussions that you're considering advanced, are those all around U.S. data center-related projects? Or is there anything in there that's not data center related or not U.S.?
John Hopkins: No, it's not all data centers. I put -- there's 3 components of what we see the market right now. There's the coal plant replacement. We've got a lot of coal plants coming offline at the end of this decade. That market is still there. We're in discussions with process companies that have interest in energy for process heat or energy for ammonia production. And interestingly, those particular customers who we're talking don't necessarily want to own a nuclear asset. What they want is clean, reliable, 24/7 energy. And this is where the BOOT, BOO, ENTRA1 model comes to play. And then the third one, to your point, and the elephant in the room, is AI and soon to be quantum, just huge amounts of energy. So -- and part of these sales, it's working with the state. It's working with utility, working with an AI company and then working with our developer to bring it all together. That's the degree of complexity that Ramsey was alluding to, that it's not necessarily just AI.
Ryan Pfingst: Got it. That's helpful. And then just one on Romania. Can you give more detail on what goes into the Class III estimate you expect to deliver to RoPower this fall and what the next steps are for you and Fluor in between that and FID?
John Hopkins: Yes. As I commented, we are a subcontractor to Fluor. They are the prime on this particular project. The Class 3 estimate just gets RoPower in a better position just to understand the cost to complete and what's going to take them for the next step. So as I said, we're keeping vigilant on -- there is an election coming up. I did speak with the CEO of Nuclearelectrica today. And he said, so far, they've had no indications of any slowdown. And -- but we'll see what happens after Sunday with the new President. But Romania, what I like about in Romania, they have nuclear. They have candy reactors that they're refurbishing. They have a strong regulator, and regulator is actually working with -- in discussions with the NRC. Romania would like to see themselves positioned for Central, Eastern Europe to be a manufacturing facility. So I think from what I'm hearing is the groundswell continues to build for that particular country. And again, we hope it just -- we're hopeful that this thing after elections, we'll have a better sense probably in a couple of 2 weeks if there's going to be any changes. But right now, it looks to be -- as far as what we've been told, things will continue to move forward.
Operator: And our next question comes from Eric Stine with Craig-Hallum.
Eric Stine: So many of my questions obviously answered a lot of detail on the call. But what I kind of keep thinking about, obviously, this was -- has been really important as you've gone through the regulatory process and everything that you have accomplished over many years. But I'm just curious the importance of light water technology rather than some of the other advanced reactors and technologies that don't have the operating history of what yours is based on, how that has played in discussions with customers. Clearly, I mean, even in the last 2 months, right, your tone is different, it seems. It seems like some of these opportunities have accelerated. And I know part of it is obviously what you're doing in the supply chain. That's key. But just curious how the basis being light water reactor technology plays into all of it.
John Hopkins: When I hear the word advanced nuclear, I immediately come to mind of NuScale. If you're really looking for a truly advanced SMR, it's NuScale. I think Dr. Jose Reyes -- because I've often asked him, did you look at other fuel sources? We have the ability to burn mixed oxide fuel. We have the ability. We could burn thorium. And we've done a lot of studies to justify that. But the fact is, as I mentioned before, the regulators around the world, they know light water. The NRC regulators, 70 years of experience in this technology with light water. And so I think it took us 42 months even though to get through that NRC process, and a lot of it was to have to scale up, and that's how we ended up spending so much money to prove to the NRC that we don't need a lot of the components of a gigawatt size reactor. Our fuel is conventional fuel. We don't have a need for more -- our fuel is less than 5% enriched. We don't need up to 19% HALEU high-assay fuel. And as you know, that fuel is not commercially readily available for scale in this country. So I think there are a lot of distinctives. And once -- that is why it's so important to get to 77 complete, because then we are truly -- we have the ability to not only go construct a plant. You can construct plants, which can't operate it without an operating license. So we went under part 52 where we construct and operate a plant via the part 52 NRC. So I want others -- I don't want to be a monopoly. I want others to be successful. But I think we're still in a very good position to be the first mover.
Eric Stine: No, absolutely. And curious also just -- it seemed like for a bit of time, the fact that you were ahead and that you were -- as you said, you can be -- I guess I'm forgetting the exact term you used, but deployable, right, in the near term. But that might have been something that kind of -- I don't want to say scared of counterparties, but it's like if they're going to talk with you about something, they better be prepared to move forward. So just -- I mean, obviously, the urgency in some of these applications is what's pushing people to be the first, and as Ramsey said, many seconds to follow. So I don't even know if that was a question.
Operator: And that concludes our question-answer session.
John Hopkins: Well, thank you, operator. I'm sorry.
Operator: No, please go ahead, Mr. Hopkins.
John Hopkins: I just wanted to end up by saying we truly believe NuScale is leading the way in the SMR industry. We believe we're uniquely positioned to commercialize and deliver clean energy at scale. With nuclear technology becoming increasingly vital to meeting global energy demands, we are both excited and proud to be at the forefront, delivering safe, reliable and scalable carbon-free power. So I'd like to thank all of you. Thank you for your interest in NuScale and for joining our call today. Operator?
Operator: Thank you. And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.